Operator: Welcome and thank you for standing-by. At this time, all participants will be in a listen-only mode until the question-and-answer session starts. [Operator Instructions] I would now like to turn the call over to your host, Ms. Rachel Stern, Senior Vice President, Strategic Resources and General Counsel. Ma’am, you may begin.
Rachel Stern: Thank you, operator. Good morning and thanks to all of you for participating today. Welcome to FactSet’s fourth quarter 2015 earnings conference call. This conference call is being transcribed in real time by FactSet’s CallStreet service and is being broadcast live via the Internet at FactSet.com. A replay of this call will also be available on our Web site. Our call will contain forward-looking statements reflecting management’s expectations based on currently available information. Actual results may differ materially. More information about factors that could affect FactSet’s business and financial results can be found in FactSet’s filings with the SEC. Annual Subscription Value, or ASV, is a key metric for FactSet. Please recall that ASV is a snapshot view of client subscriptions and represents our forward-looking revenues for the next 12 months. Lastly, FactSet undertakes no obligation to update publicly any forward-looking statements as a result of new information, future events, or otherwise. Joining me today are; Phil Snow, Chief Executive Officer; Scott Miller, Director of Global Sales; and Maurizio Nicolelli, FactSet’s Chief Financial Officer. Now I’d like to turn the discussion over to Maurizio Nicolelli, Chief Financial Officer.
Maurizio Nicolelli: Thank you, Rachel and good morning everyone. Here is where we will focus our time for this call. First, I’ll review the fourth quarter results. Second, I’ll cover guidance for the upcoming first quarter. Third, Phil Snow will discuss our recent agreement to acquire Portware. Lastly, we’ll close by addressing your questions. So let’s proceed with our fourth quarter results. FactSet performed very well in the fourth quarter as we achieved record highs in all of our key metrics, which include ASV, revenues, client count, user count, and EPS. During the quarter, our organic ASV grew 36.9 million continuing our market share expansion. Our growth rate accelerated to 9.2%, up 30 basis points from the third quarter and up 190 basis points versus the prior year. In terms of geography, ASV from our U.S. operations totaled 715 million, while international operations accounted for 343 million or 32% of the total. Buy-side clients, which include off-platform data sales and the market metrics business accounted for 82.5% of ASV, while the remaining ASV was generated by our sell-side clients, which include M&A advisory, capital markets, and equity research businesses. Please note our results contain two discrete items; first, operating expenses included a 3 million pre-tax charge primarily from the vesting of performance-based equity instruments. Second, income tax expense includes a 2.3 million benefit from finalizing prior year tax returns and other discrete items. Excluding these two items, our adjusted operating margin grew to 33.9%, while our adjusted EPS rose 13% to $1.48. This quarter marks our 21st consecutive quarter of double-digit EPS growth. Let’s now turn to free cash flow. We define free cash flow as cash generated from operations less capital spending. Over the last three months, we generated 73 million in free cash flow, an increase of 12% over the same period last year. Free cash flow increased during the quarter due to high levels of net income, lower income tax payments, and a reduction in deferred fees due to timing of when we invoice our clients. Our cash and investments balance was 182 million, down 500,000 during the quarter. This quarter, we spent 78 million on share repurchases. As of quarter end, 134 million remained available for future share repurchases. We’ve also paid regular quarterly dividends of 18 million. Now, let me walk you through our P&L. Revenues grew in the fourth quarter to 261.8 million, up 9.1% organically over last year. Adjusted operating income, which excludes a 3 million pre-tax charge due to the vesting of performance-based equity instruments grew to 88.7 million and an increase of 11.7% over last year. Adjusted net income advanced 11.9% to 62 million and excludes the after-tax expense of 2.1 million from the vesting of performance-based equity instruments and income tax benefits of 2.3 million from finalizing prior year tax returns and other discrete items. Adjusted diluted EPS grew 13% to a $1.48. In the fourth quarter, our U.S. revenues rose to 176.5 million, which equates to 8% organic revenue growth compared to the same period last year. Non-U.S. revenues rose to 85.3 million. Excluding the impact of foreign currency, the international revenue growth rate was 11.6%. More specifically, revenues in the fourth quarter from Europe and Asia-Pac regions were 65.2 million and 20.1 million respectively. Excluding foreign currency effects, year-over-year growth rates were 10.4% in Europe and 15.5% in Asia-Pacific. Now, let's now review the revenue growth drivers this quarter. The organic ASV growth rate accelerated to 9.2% and was driven by broad-based global growth from both this buy and sell side. The growth rate from buy-side clients grew 50 basis points to 9 % during the fourth quarter. The growth rate from sell-side clients was 9.8%, a decline sequentially from the third quarter, but up 130 basis points from last year. Our net user count increased by 3,210, which is our highest ever increase in a single quarter. Net user count of FactSet terminals totaled 62,205 at quarter end, which represented a year-over-year growth rate of 14%. The fourth quarter typically includes new users from both this buy and sell side as our largest clients bring in their new higher classes. Sell-side growth accounted for a little more than half the user increase. Growth in the IPO and M&A marketplaces have also been a boost for our banking clients this year. During the year, FactSet released a new user interface with an emphasis on the ease-of-use and search. We believe this new UI also contributed to the net user increase. Also contributing to our growth, we have seen accelerated demand for our fixed income portfolio products, portfolio analytics suite of products, sales of equity attribution, and multi-asset class risk models. Our stable of value-add products in the equity and fixed income analytics suite boosted strong sales in the U.S., European, and Asia-Pac regions. Our solutions in the portfolio services space also continued to do extremely well, as clients look for areas to outsource services around daily integration, enrichment, quality control, and process monitoring. They are turning more and more to our managed services in this space. Selling content in both data feeds continues to be a strong and developing product line for us. We’ve had success leveraging the distribution network of third-party providers. Large clients value our industry-leading content such as StreetAccount news , geographic revenue, and entity data, FactSet Fundamentals, FactSet Estimate, and FactSet Ownership. Finally, our research management solutions, what we call RMS which includes both our IRN and Code Red products continue to grow in the fourth quarter as clients now have choice between our hosted and local solutions. Now, let's take a look at the expense side. Total operating expenses were 176.1 million. Our adjusted operating margin was 33.9%, which excludes the 3 million pre-tax charge from vesting performance-based equity instruments. Cost of services, expressed as a percentage of revenues, increased by 230 basis points compared to the year-ago fourth quarter. This increase was driven by a higher compensation expense including stock-based compensation. Employee compensation expense grew as we expanded headcount of 11% year-over-year, primarily from our new college graduate hiring in consulting and software engineering and acquired employees in connection with the February 2015 Code Red acquisition. Stock-based compensation grew due to the vesting of performance-based equity instruments. SG&A expenses expressed as a percentage of revenues decreased by 180 basis points in the fourth quarter compared to the year-ago period due to lower compensation expense from employees performing SG&A roles and a reduction in occupancy costs, partially offset by higher stock-based compensation expense. At the end of our fiscal year, we had 7,360 employees, a year-over-year increase of 11%. We hired 409 net new employees this quarter, primarily within our software engineering and consulting classes. The fourth quarter effective tax rate was 27.7%, down from 30.4% a year ago driven by income tax benefits of 2.3 million from finalizing prior year tax returns and other discrete items. Excluding these income tax benefits, our current year annual effective tax rate was 30.3% down 10 basis points over last year. Now let's turn to guidance for the first quarter of fiscal 2016. Our guidance does not include results from the expected acquisition of Portware. We will update out guidance when the acquisition closes. We expect that revenues will range between 265 million and 269 million. Operating margin should range between 33% and 34%. The annual effective tax rate should range between 31% and 32%. This range also takes into account the expired Federal R&D tax credit and assumes it will not be re-enacted before November 30, 2015. We expect that diluted EPS will range between $1.46 and $1.48. This estimate accounts for the expired Federal R&D tax credit which has the effect of lowering each end of the range by $0.02 compared to the just completed fourth quarter. The midpoint of the range suggests 13% year-over-year growth after adjusting for the exploration of the R&D credit. Please note the R&D tax credit has expired only once in its 34-year history without being retroactively re-enacted to previous years. Should the R&D tax credit be re-enacted on or before November 30, 2015 diluted EPS would range between $1.51 and $1.53 in fact that would also recognize a benefit of $0.14 per share if the credit could be retroactively applied to previous periods. And now I would like to turn the discussion over to Phil Snow, Chief Executive Officer.
Phil Snow: Thank you, Maurizio and good morning everyone. My prepared remarks today will cover two topics. First, I'll cover the strategic rationale behind acquiring Portware given that this will be FactSet's largest acquisition. I will also touch upon our capital allocation strategy. Second, I will offer some thoughts about our 2015 results. Let’s start with Portware, yesterday we entered into a definitive purchase agreement to acquire all of the outstanding membership interests of Portware for $265 million in cash, partially offset by expected income tax benefits with an estimated present value of $50 million. We plan to fund the acquisition with an expansion of our existing revolving credit facility. We expect it will close in late October or early November. From many perspectives I am very excited about the acquisition of Portware. Strategically Portware will be a platform to expand our presence in large global asset managers by becoming part of their trading ecosystem. We expect to combine our leading expertise and portfolio analytics with Portware's innovative suites of trade automation solutions and cross-sell the solutions at FactSet's blue-chip global buy-side client base. To be clear, we still need to do significant work over the next couple of years to execute our plans and capture market share that is meaningful to our overall growth rate. Importantly, we believe that eliminating different systems between middle and front offices, it's high on the wish list of our global asset manager clients. We can streamline our clients' workforce by capturing more of the trading lifecycle and integrating it into FactSet. I very much look forward to welcoming all the employees of Portware to the FactSet team. I can tell you that the high level of internal excitement and momentum to unifying our product, enhancing the workflow of clients and driving of the value of our joint offering. Regarding our capital allocation strategy little has really changed. We have been looking at many ways to expand our trading capabilities over the past few years during that time we developed a strong belief that buying a proven winner in the marketplace with the best path forward. We analyzed many opportunities and have been impressed by what we found at Portware. Our acquisition strategy has not changed since I have assumed the CEO role and I do not anticipate a significant shift in our strategy on this front. Regarding the size of the acquisitions and FactSet’s leveraging of its balance sheet, I have a few thoughts I would like to share with investors. One, the additional $265 million invest to our balance sheet is more a function of record low interest rates rather than a strategic shift. Like most corporations we focused on returning capital to shareholders in the form of share repurchases and dividend payments in light of the low returns available on cash balances over the last few years. We believe that our return on capital far exceeds our cost of capital by a wide margin. We continue to ensure the luxury of great financial flexibility given annual free cash flow generation of $281 million. Second, the size of this acquisition is well correlated to the size of the opportunity for FactSet. FactSet has made amazing strides in growing organically, but at the same time I recognize along with our executive team that there were times when an acquisition rather than building a system internally is the best course of action to put us on a path to capture significant business on a global scale. Finally, we view the task of optimizing capital very seriously. Whether investing in existing operations, acquisitions or returning capital back to shareholders, maximizing our EPS accretion is what drives us. Excluding amortization of acquired intangible assets, we believe the Portware acquisition will be accretive to earnings right away and open up future market opportunity, in our core client base which will drive future growth. Now let me turn my attention to the just completed 2015 fiscal year. I'm proud of our many achievements and want to thank every FactSet employee for their hard work in driving up shareholder value. Our key metrics accelerated throughout the year and the accompanying growth rates reached three year highs. Our organic ASP growth rate accelerated 190 basis points to 9.2%. We crossed the billion dollar mark on ASV in February and ended the year at $1.06 billion. Clients and users reached record high including a record Q4 of the user editions. Free cash flow grew by 13.5% to a record $281 million. We returned $323 million to shareholders in the form of dividends and share repurchases. Return on equity was 46% increasing our three year average returns of 41%. We continue to reinvest in our business, as we increased global headcount by 11% in order to fuel organic growth. We completed strategic acquisitions in the past 12 months including Code Red. EPS grew by 16% in 2015. Finally, we established a path to a large opportunity within our core client base by signing an agreement to acquire Portware. To summarize, we had a strong year and I believe we are well-positioned for future growth in fiscal 2016. We have been successful in expanding our market share against competing products, we've made tremendous progress accelerating all of our key metrics and we look forward to achieving our aggressive but achievable goals in 2016. Thank you and we are now ready for your questions.
Operator: Thank you. We will now begin the question-and-answer session for today's conference. [Operator Instructions] Our first question comes from Ms. Manav Patnaik from Barclays Capital. Ma'am your line is now open.
Greg Bardi: Hi this is actually Greg calling on for Manav. Just wanted to ask a little bit more about the cross-sell opportunity with Portware, and maybe along those lines, who is the typical Portware user for the buy-side client and are a lot of these guys already FactSet users?
Phil Snow: Hi Greg, it's Phil Snow. So Portware is a great strategic fit for us. Many of the more recent wins have been at the large buy-side client user base which is one of our core areas as well. We see this as a great strategic fit. We have, as you know, great penetration within the middle office of our clients, and we have a good footprint with analysts, portfolio managers, and traders, and this really I think gives us a great opportunity to further penetrate the buy side trading user community.
Greg Bardi: And then some of the articles I've read about Portware have been talking about their rapid growth on the FX side. Can you talk about your thoughts there, what if what FactSet currently offers to the FX side, and what you guys are thinking there?
Phil Snow: We don’t currently have a lot of FX capabilities, which is one of the exciting parts about this acquisition. What I can say is that our strategic focus, as you've seen has to become more of a multi-asset class solution for our clients, and we’re excited about the fact that Portware is a multi-asset class solution and gives us more flexibility and opportunities in that area.
Operator: Our next question comes from Ms. Toni Kaplan from Morgan Stanley. Ma'am your line is now open.
Toni Kaplan: First, could you give us a sense of the growth in wealth management users during the quarter. Was that a key contributor to the 14%?
Scott Miller: Hi Toni, it's Scott Miller. We don’t break out growth rates by client or product segment, but we were very happy, we've been very happy with the growth in the wealth space, it's continuing to outperform our overall growth rate and we see great opportunities remaining in that space.
Toni Kaplan: And then secondly, now that you've announced a large acquisition in Portware, how does that effect, I guess your appetite for future acquisitions and can you talk about what you view as sort of an optimal leverage level, especially given that rates are so low as you mentioned?
Phil Snow: Hi Toni, it's Phil Snow. So I don’t -- so as I mentioned in the comments, our strategy hasn’t changed. Where it comes to M&A, we continue to look at a lot of different interesting opportunities that come across our desk, either in the content analytics or platform delivery area. This is our largest acquisition with the focus on a dollar basis, but as a percentage of FactSet’s size at the time, we've made other acquisitions that are this large, so we feel like we still have a tremendous amount of flexibility. If we wanted to execute on something of a similar or larger size and we certainly have seen some things that have come across, which is nothing that we've been this excited about executing on.
Toni Kaplan: And do you have the target leverage level or it is just whatever makes sense you will just evaluate it?
Maurizio Nicolelli: We still have tremendous -- hi, it's Maurizio Nicolelli. We still have tremendous flexibility in our capital structure. We will have 300 million in debt when our EBITDA is far larger than that, and so with our capacity to continue to allocate capital to where it’s best allocated whether it is a share repurchase dividend or acquisitions is still very much there, so there is no target level as of today.
Operator: Our next question comes from Mr. Shlomo Rosenbaum. Sir, your line is now open.
Shlomo Rosenbaum: See, how should we think about the growth of Portware? In the first quarter, the company had 40% year-over-year growth, is that kind of indicative of the way the company is growing? Is it continuing to accelerate from there, we are just trying to understand how we should think about this over I guess the next year or so?
Phil Snow: I guess I will answer that, Shlomo, I'm not sure where that 40% comes from, but what I can say is that Portware has had a tremendous amount of recent success in the marketplace, and this is really driven by a significant shift in their strategy, so they have shifted towards creating really good analytics in automation with freeing up the trade and to spend their time in areas where they can have the most value. So, we really love the analytics component of the Portware offering, and we see that as a very good complement to FactSet and the portfolio suite of products that we've done so well with.
Shlomo Rosenbaum: Two, I'll tell you, where I got that from. On their Web site, they put out in the first quarter that they have grown 40% year-over-year. That was something where I got that from, it seems that the strategy you're talking about is indicative of really good growth, and I was just wondering if there is something when you think about the 60 or so clients that they've got right now, how many clients of the close to 3,000 that you have do you think this kind of a platform could be potentially sold into?
Maurizio Nicolelli: There is a lot of them I think, so FactSet’s got a great buy-side client base, it is 80% of our ASV, that's about a 75% overlap with their client base. So, 75% of the Portware clients are already FactSet clients., so that other 25% represents cross-sell opportunity for other products, but the largest cross-sell opportunity is for Portware to penetrate the rest of the buy-side client base.
Shlomo Rosenbaum: But what size of clients, I'm trying to get into what size of clients would be buying something like this, you talked about blue chip clients, is there a certain asset under management where someone will spend?
Maurizio Nicolelli: You could -- so some of our very largest clients today on the buy-side use Portware, some of the very largest sovereigns globally use Portware. They also have good penetration within the hedge fund space.
Shlomo Rosenbaum: And is this the straight out how the software priced, can you discuss that a little bit?
Maurizio Nicolelli: That is something we can't discuss Shlomo.
Operator: The next question comes from Mr. Alex Kramm of UBS. Sir, your line is now open.
Alex Kramm: Just maybe going back to the base business for a second here, I mean obviously organic growth rates continue to accelerate really strong just may be can you talk to us about what you're seeing out there and your confidence level to get back to that or not to get to that 10% growth as you've outlined as a goal and I guess the two things that are known is on the buy-side increasingly we are hearing with all the volatility in markets asset managers are pushing up budget, AOM is down and on the sell-side, I think you highlighted M&A and smaller boutiques as an area of growth and it seems like that M&A cycle might be coming too so just wondering what you're seeing out there and how you're feeling in the context of getting back to 10% with that backdrop?
Scott Miller: Hi Alex it is Scott Miller. I'll take a couple pieces of that, I think, clearly volatility in the market is something that we watch we talk to our clients a lot about it. The thing about volatility for us as well is it requires better data, and more analytics and better information in general which plays right into our sweet spot so with the volatility comes opportunity for us. We feel really good about the opportunities out there across both buy side and sell side, our growth has been very broad based across our regions and our client base. So we feel good about the opportunities going forward.
Alex Kramm: And then I guess secondly, just going back to the acquisition and the strategy. I think you touched upon this a few times but when I think about FactSet I think a lot of people still think of you as like a desktop business that has to some degree a pretty strong value proposition and now it seems like you’re going into some other parts and becoming maybe a little bit more of a broad based financial technology provider within this BMS I mean there is probably the other part of the value chain that you can now sale when you think about I don’t know order management and other given parts that fit in between. So just wondering, should we be thinking about FactSet a little bit more the broad thin tech provider that might be going after some more competitive businesses or some more -- yes businesses that you might not have the same kind of modes that you have today or how would you defend that?
Scott Miller: I think the easiest way to think about our business and the way that we think about it internally is we have very great -- we have great penetration within the middle office of our clients, the performance, risk, portfolio area. We also have really good deployments within the front offices of our buy-side and sell-side clients and we also have a business where we provide solutions outside of the work station. So that’s how we’re organized, that’s how we think and we think there is a huge opportunities for us in all of those dimensions particularly within the largest clients in the market.
Operator: The next question comes from Mr. David Chu of Merrill Lynch. Sir your line is now open.
David Chu: I think the press release mentioned 41 million in ASV for Portware, is this the right way to think about annual revenue contribution in year one?
Phil Snow: Yes.
David Chu: Can you just kind of speak to the margin profile of the company?
Phil Snow: We included the accretion, dilution analysis in the press release. The only other thing you can really add there is just from that EBITDA margin is right around 20% right now.
David Chu: About 20%, okay, great, and then do you guys continue to do a good job lowering SG&A as a percentage of revenue, I just wanted to see how much more room you have there and kind of what you’re doing to kind of deliver the leverage?
Phil Snow: In general we look at -- we manage the business based on the operating margin overall. The difference between cost of service and SG&A is really a function of where we bring in employees. The majority of our employees that were brought in the fourth quarter were in cost of services from both our consulting and software engineering classes. But at the end of the day we’re really looking at the total operating margin that we’re managing to.
Operator: Next question comes from Mr. Peter Heckmann of Avondale. Sir, your line is now open.
Peter Heckmann: Just a couple of follow-up questions, Phil, when you talk about looking to continue to expand the asset classes for FactSet, and again it goes to a little bit more of the legacy view of FactSet and that is clearly evolving but you primarily consider to be an equity solution and you have been adding fixed income capabilities, and that type of capabilities. What type of investments do you think are needed to really develop a robust call it buy asset class solution and as the CEO do you still think of the company as managing the long-term towards flat operating margins and incremental profits in your platform or might this require some additional incremental investments that could pressure margins?
Phil Snow: So, I’ll start with the second part of that question first which is yes, the philosophy here hasn’t changed. We want to drive double-digit EPS growth rate. Keep our margin flat and reinvest everything we can back in the business for our clients and our shareholders essentially. So every year we go to a robust investment process exercise where we look at all of the different opportunities available to us within different areas of the business. And this year again fixed income and multi-asset class is very prominent in the ideas and we continue to fund that we continue to overweight that versus some of our other areas. But there are lots of areas that we need to continue to invest in, in the business, it’s not just strictly adding into fixed income and some other asset classes.
Peter Heckmann: Okay. And then just a follow-up question, maybe this is better for Maurizio. But on the assets from eps.com was there any measurable level of ASV contribution with that small acquisition? And then number two is just can you comment on the pricing environment and perhaps quantify how much pricing is contributing to overall organic growth for fiscal ’15?
Phil Snow: So this is Phil Snow again. So for the eps.com acquisition, no, there wasn’t any significant revenue that was part of that acquisition. It was more of a content acquisition and in terms of the pricing I think you can expect the same thing if I understood the question correctly the same as in previous years where that -- we had very low single-digits in terms of our pricing over the year.
Operator: Next question comes from Mr. Keith Housum of Northcoast Research. Sir, your line is now open.
Keith Housum: First question for you on Portware, from a geographic perspective is there significant geographic overlap you guys have or opportunity to Portware or perhaps for you guys which is R&D or not?
Phil Snow: I think the Portware, I don't have the numbers right in front of me, but this very good overlap with the global offices that we have which is great from an integration standpoint and I think there're like us their bulk of their revenues are probably in the Americas and they are starting to see a lot of success globally as well. So, I think this is very good overlap, there's good large clients and prospects in every region.
Keith Housum: And on the core business, as we look at sort of the market volatility over the past few weeks, is there any signs from the customers that there's concerns about their hiring trends going for the rest of this calendar year?
Scott Miller: Hi, Keith, it is Scott Miller. We haven't really seen any of that indication we clearly stay close to our clients throughout this volatility. It is felt still fairly healthy as we look at the sell-side graduating classes that we just saw were reasonably healthy, and attrition rates were nothing of know so, we haven't seen anything that alarms us in that space so far.
Operator: Next question comes from Mr. Will Warmington of Wells Fargo. Sir, your line is now open.
Will Warmington: So, a question for you on the geographic growth, I wanted to ask about strong international growth and you had mentioned strengthened Europe and also Asia, just wanted to ask specifically what kind of products you were seeing the most successful in there, whether it's wealth management, fixed income or the legacy desktop or one of the others?
Scott Miller: Hi Bill it is Scott. It's pretty broad-based, there is the -- we've seen in across both sell-side and buy-side in Asia-Pac and EMEA. We structured our regions so that -- eight months ago to have international split in the EMEA, and Asia-Pac and so looking at across those two, it's been fairly broad-based in terms of where the growth is coming from.
Will Warmington: And then the, on the employee count, I know that was up almost 11% but it sounded like a fair amount of that was coming from the acquisitions that have been done. If you excluded those acquisitions what would that more normalized headcount growth look like?
Maurizio Nicolelli: The acquisition of Code Red only added 40 employees in total, so the large majority of the adds during the year are from new hirings that we've done.
Will Warmington: Is that mostly offshore or is that onshore?
Scott Miller: It's a healthy mix.
Will Warmington: And then final question was just wanted to ask on Portware, whether there were any client concentrations we should be aware of?
Scott Miller: No, I think they do have some large client deployments which is probably why we're so excited about this it's not particularly concentrated at the top if it's a risk question.
Operator: Next question comes from Mr. Tim McHugh of William Blair & Company. Sir, your line is now open.
Tim McHugh: Just on Portware. Can you talk about the, I guess medium term expectations for margins. I guess, just given the 20% EBITDA margin on the multiples that you paid, it seems rather high, so is that multiple a reflection of you think the margins will move towards the corporate average or is it about the growth potential more or so?
Scott Miller: So, every acquisition, we look at a unique, as you would expect and we do a tremendous amount of due diligence and we think that it is the growth rate of the future opportunity, the strategic fit and the future margins that we projected make the price that we paid a great deal for FactSet shareholders.
Tim McHugh: And maybe just a follow-up on that I guess this is we see competitors in your and I guess related space also paid fairly high multiples rather kind of financial data business is this -- is the pricing for acquisitions getting more and more competitive in the sector and I guess how is that influence then as you think about the strategy you talk about trying to expand the things you do within the broader financial kind of data sector?
Scott Miller: So, we certainly noticed some froth over the last year or two as we've looked at strategic acquisitions, but I would not say that the froth played into our thinking in terms of the pricing for this acquisition. We feel like we paid a very fair value for the asset.
Operator: Next question comes from Mr. Dan Dolev of Jefferies. Sir, your line is now open.
Dan Dolev: Can you talk about -- so it looks like organic growth -- revenue growth in the U.S. is decelerated about 60 basis points, I know the competitor is tougher, but there is a bit of a bifurcation between the accelerating ASV and the decelerating organic growth. Can you talk a little bit about -- what's trending that and how we should think about the coming quarters, the run rate for organic growth in the U.S.? Thanks.
Scott Miller: Dan it is Scott from my perspective, over the year we've seen acceleration across three regions, Americas is our most mature market and so the other regions are accelerating faster, but I feel, I'm very comfortable with the growth prospects for all other regions and I like what we see in the Americas.
Dan Dolev: And then just one housekeeping question, it looks like one of the metrics is no longer disclosed more specifically the number of workstations, can you maybe discuss what's behind that if I missed it then sorry?
Scott Miller: We do have the number of workstations in the press release. I think we were up 3,200 workstations during the quarter.
Operator: Next question comes from Mr. Patrick O'Shaughnessy with the Raymond James. Sir, your line is now open.
Patrick O'Shaughnessy: So first question is Symphony, the startup messaging service and technology platform is certainly got a lot of price just curious what your read is on that as a product and if there is any opportunity for FactSet to partner with Symphony in any way?
Phil Snow: Hi, Patrick, it's Phil Snow. So as we announced we have joined the Symphony Foundation and we -- I think this is consistent with what we've said the past, we believe that open messaging -- an open messaging community is best for the entire marketplace. So we fully support that and that will be something that our users will be able to use.
Patrick O'Shaughnessy: Got it, missed that. Thank you for pointing that out. The follow-up from me, obviously McGraw Hill bought SNL. During the quarter, they announced it and I think that acquisition really highlighted the dominance of SNL in some key verticals and I think particularly financial services and real estate, curious if there is any opportunity for FactSet to maybe more directly go after those verticals and encroach on a market opportunity that still seems pretty powerful?
Phil Snow: Yes, it's a great question I mean they have built a great product. They go credibly deep in some sectors. We go deep as well. We don't go quite to that level of depth within particular industries and when we're evaluating our investments each year we think about that is one of our options, but we sit side-by-side today with SNL quite happily in a lot of our client bases, a lot of things that FactSet does that SNL can’t provide.
Operator: Next question comes from Mr. Glenn Greene from Oppenheimer. Sir, your line is now open.
Glenn Greene: I just want to go back to the margin profile of Portware, is it just a function of it's at this point what sort of 40 million revenue run rate it just hasn't really scaled and that the incremental margins are very high, is that kind of how you think about it overtime?
Phil Snow: If we think about it right now, it has approximately 20% margin, it will grow overtime as we expect the business to grow and get more in line with FactSet's margin going forward as we reinvest into the business also.
Glenn Greene: And then strategically this is -- it's a little bit different than FactSet sort of typical acquisition obviously sort of more focused on sort of the trading and more data and analytics and algorithms, is that an increased focus that we could see sort of other acquisitions or internal developments toward this direction overtime as well?
Phil Snow: We've been building out our own buy-side trading solution for some time. This really gives a lot of additional heft to it. We just didn't feel like we had the internal expertise to build for this particular workflow, but we continue -- for all of these adjacent workflows within our largest clients, we continue to evaluate the partner build or buy option for us.
Glenn Greene: And then finally just on the very strong user growth in the quarter the 3,200 and I know it's seasonally a strong quarter but this was seemed better than normal seasonality, was there anything usual in the quarter one big client that had a lot of adds or anything like that? And is there any sort of like sequential concern going into 1Q that we get some fall-off?
Scott Miller: Hi, Glenn, it's Scott. Nothing that specifically calls out there was very wide spread. Sell-side was a little bit higher in the overall number than buy-side was, not surprising. We do see good growth in that sell-side workstation this time of the year as the new-hire class has come in, but it really was just good growth all over the place and an estimate to our salesforce and client service group who are out there and they were doing a terrific job and it showed.
Operator: Next question comes from Mr. Shlomo Rosenbaum of Stifel. Sir, your line is now open.
Shlomo Rosenbaum: Maurizio, the acquisition is supposed to go from being $0.03 dilutive to becoming accretive in 12 months, how are the implication as you guys get to FactSet like operating margins in about 12 months? And I was just wondering is this a function of revenue growth or is there some kind of particular cost takeout that you're planning in terms of real estate integration or a main office integration really, I am just trying to gauge that usually the Company of this size it would be a revenue growth type of function, but I do want to make sure I am thinking about it properly?
Maurizio Nicolelli: Hi, Shlomo, it's Maurizio. You have it correct. This is a function of revenue. It is very little cost taking out in this process. It really is all about revenue growth.
Shlomo Rosenbaum: So it's really the significant solid revenue growth that's lifting the margins over here and that's kind of underpinning the valuation of the Company and the opportunity and every like that there is no way to be thinking about this?
Maurizio Nicolelli: Right, it's providing the substance over the next 12 months.
Scott Miller: Thanks every one. See you again next quarter.
Operator: That concludes today's conference. Thank you all for your participation. You may disconnect at this time.